Operator: Welcome, everyone, and thank you all for standing by. At this time, all participants are in listen only mode. After the presentation, we will conduct a Q&A session. [Operator Instructions] Today's call is being recorded. If you have any objections, you may disconnect at this time. I'll turn the meeting over to your host, Kenny Chae. You may begin.
Kenny Chae: Good morning, and hello, and welcome to Akzo Nobel’s Investor Update for the Third Quarter of 2022. I'm Kenny Chae, Head of Investor Relations team. today, our CEO, Thierry Vanlancker; and CFO, Maarten de Vries, will guide you through our results. We'll refer to the presentation, which you can follow on screen and download from our website at akzonobel.com. A replay of this webcast will also be available. There will be an opportunity to ask questions after the presentation. For additional information, please contact our Investor Relations team. Before we start, I would like to remind you about the disclaimer at the back of this presentation. Please note this also applies to the conference call and answers to your questions. I will now hand over to Thierry, who will start on Slide 3 of the presentation. 
Thierry Vanlancker: Thank you very much, Kenny. Hello, everybody, and a very warm welcome to the call. As we discussed during our Q3 market update call last month, this past quarter showed all the clear signs of a turning point in market dynamics. The past several quarters showed demand for paints and coatings outstripping the supply of raw materials. And as a result, the whole channel, including our sales was focused on replenishment, which resulted in high levels of inflation and inventory build across various channels. As of Q2, we are seeing a sharp and fast reversal of these trends driven by a significant drop in consumer confidence across key geographies and an especially weak macroeconomic outlook in Europe and China with similar signals emerging in the U.S. This causes a number of concurrent and fast developing effects. The first one is an accelerating improvement of availability for lower priced raw materials. The second effect is the early sign of softer demand signals, especially in Europe and China. This has triggered some defensive destocking across most channels based on these market demand concerns in those geographies. On the first effect with regards to raw materials, we see clear and significantly accelerating signs of deflation in raw material pricing. While this falling output prices are an encouraging and a long awaited positive development for 2023 and beyond, it is in the very near term till year-end a headwind for us as a whole industry now first needs to work through elevated levels of costly inventory that was built up during the year. Based on current inventory levels and the time needed to work through it, we expected the margin expansion to start to have a positive impact in our numbers from early 2023 onwards. The second effect is the softening demand or rather concerns of softening demand and destocking, which means more negative pressures on our margins from retail volumes before we start realizing the long awaited margin expansion in 2023. The exact timing and the magnitude of that long awaited margin expansion in the first half of 2023 is difficult to predict given the uncertainty of macroeconomic factors like energy costs in Europe and the impact of a number of other items like the COVID lockdowns in China or interest rate increases around the world and the impact on demand and cost dynamics. Focusing on our third quarter results, our adjusted operating income, excluding the impact from retrospective hyperinflation accounting came in at €201 million, which is in line with what we communicated in our Q3 update from late September. In the third quarter, we delivered double-digit revenue growth, driven by strong pricing of 13%. Our pricing initiatives more than offset raw material and freight inflation now for the third consecutive quarter. Revenue was up 19% with double-digit revenue growth for both paints and coatings. Year-to-date, revenue for the first three quarters of 2022 was 15% higher compared to the same period of 2021 and the year-to-date adjusted operating income was €663 million. By the end of the third quarter, we completed €354 million out of our current €500 million share buyback program, which we expect to complete by year-end. Around 3.3 million treasury shares representing 4% of the share count were canceled earlier this month. We also announced an interim dividend of [€0.44 per share] [ph], which is in-line with our stable to rising dividend policy. Now turning to Slide 4. Despite the external headwinds in the quarter, we continue to make progress delivering top line growth for the ninth consecutive quarter. Cumulative pricing over a two-year period is now 22% and the cumulative pricing benefit over the past seven quarters have more than fully offset the €1.7 billion of cumulative, raw material and freight inflation over the same period. While weakening consumer confidence has created significant market disruptions in Europe and China, our Decorative Paints businesses in Latin America and South Asia continued to show strong growth. In Performance Coatings, we continue to see sequential improvements in our Marine and Protective end markets, while our automotive and specialty business demonstrated share gains. Amidst the ongoing market turbulence, our people remain focused on delivering the self-help initiatives to become a more efficient, high performing company. We made further progress this past quarter in our packaging rationalization initiative, now having reduced 35% of the total number of different packs used by our Paints EMEA business. Also, our efforts to ramp up our in-house production of resins helped partially to mitigate the significant force majeure impact from our major resin supplier in our coatings business in North America, which hit us in the third quarter. The proactive actions as outlined by our focus to initiatives to drive cost savings and inventory reduction were also actions and ramped up during the quarter. And we are pleased, very pleased with the business performance and the integration progress of Grupo Orbis, our recent acquisition in Latin America. Turning to the Slide 5, we see the latest demand trends for the current quarter, which is in-line with our market update we did last month. In the third quarter, we saw heightened macroeconomic uncertainties in Europe and China. In Europe, ongoing geopolitical pension, rising interest rates and high energy prices [Technical Difficulty] historical low. [Technical Difficulty] Thank you very much. Sorry for the disruption. Obviously, there was a disconnect with this call center. So let me start back on the Chart 5 that actually sees the latest demand trends for the current quarter and which is totally in-line with what we communicated in our market update call in September. In the third quarter, we saw heightened macroeconomic uncertainties in Europe and in China. In Europe, ongoing geopolitical tension, rising interest rates, and high energy prices led to near historical low consumer confidence along with the deterioration in economic outlook. This led to customers and channel partners in both paints and coatings proactively destocking in anticipation of what they fear will be lower market demand. In China, COVID-related lockdowns continue to persist and extreme weather led to restrictions on power usage for industrial activities. Meanwhile, the declining real estate market and significant weakening of consumer confidence led to low market demand during the past quarter, which outweighs the benefits from our successful geographic expansion for [Deco China] [ph] in this quarter. We are still experiencing supply and logistics constraints in North America. While the situation is improving overall, we are still faced with unexpected incidents such as the fire and explosion incident at [indiscernible] a major resin supplier for us in North America. The overall demand for paints and coatings in Latin America and South Asia is strong as expected while sequential recovery continues in Marine and Protective and Automotive and Specialty Coatings. Slide 6 shows the volume progression for our paint and coatings businesses. The last three years have been anything but normal with significant distortions to the paint and coatings industry, including the impact from COVID-19, supply chain disruptions of all sorts and geopolitical tension to name a few. As such, it is important to contextualize the volume progression compared to 2019, the last of the normal business years for this industry. Global paint sales volumes, excluding acquisitions in the second half of 2022 are trending slightly below our 2019 levels. Sales volumes for Paints EMEA are trending below 2019 levels impacted by destocking, while the overall end market demand important to stress is around 2019 levels still. Sales volumes for Paints Latin America and South Asia are trending above 2019 levels, while sales volumes for Paints China are trending materially below 2019 levels due to the recent macroeconomic weakness and the lower consumer confidence in China as mentioned before. Our Global Coatings sales volumes, excluding acquisitions in the second half of 2022 are trending materially below the 2019 levels. Sales volumes for industrial and powder coatings are trending below 2019 levels due to significant destocking in their respective distribution channels as a result of weaker confidence on the macroeconomics and the impact of high energy price on industries such as coal in Europe. Sales volumes for automotive and specialty remained around 2019 levels, while sales volumes for Marine and Protective continue to improve sequentially, but not yet fully recovered to 2019 levels. It is also worth noting that the impact of exiting most of our coatings businesses in Russia during Q3 accounted for about 1% of the sales volume decline for our global coatings business versus 2019. And with that, I will now hand it over to Maarten, who will share more about our financial results from Slide 8 onwards.
Maarten de Vries: Thank you, Thierry, and good morning, everybody on call. In the third quarter, our reported revenue was up 19% versus prior year and up 14% in constant currencies. The volumes were 5% lower, which was more than offset by pricing of 13%. The Grupo Orbis acquisition, which closed in April, added 5% to revenue and delivered a positive contribution to third quarter adjusted operating income with performance ahead of the original business plan. Adjusted operating income decreased 24% year-on-year to €184 million. When excluding the negative impact of retrospective, hyperinflation accounting, the underlying adjusted operating income was €201 million, which is a 17% decline year-on-year. Adjusted operating income excludes the impact of identified items, which was net negative [€16 million] [ph] for the third quarter. Now moving on to Slide 9. As mentioned on the previous slide, we delivered three consecutive quarters of positive net pricing versus raw material inflation for both paints and coatings. Pricing of €360 million was enough to offset €279 million of raw material and freight inflation in the quarter. The decline in volumes of 5% translated into a negative €53 million impact. Currencies had a positive effect of €11 million, while mix was negative €6 million. Operating expenses and other one-offs were €29 million higher year-on-year. The underlying operating expenses increased by €35 million due to higher manufacturing supply chain and IT costs. While we are seeing clear signs of raw material cost declining, inflationary pressure on operating expenses is expected to continue. In the third quarter, we retrospectively applied hyperinflation accounting for Turkey as of January 1, 2022. Please note that for Argentina, hyperinflation accounting has been in place since 2018. The total impact of hyperinflation accounting recognized in the third quarter was €25 million, 8 million related to the quarter itself, well, 17 million related to the first half of the year and was supplied respectively. The third quarter adjusted operating income was €184 million and excluding the retrospective hyperinflation accounting, it was as I said earlier, €201 million. Moving now to Slide 10. For the third quarter, the impact from raw material and freight inflation was €279 million versus the same period prior year. Combined with the €278 million impact from the same quarter last year, the total cumulative inflationary impact over a two-year period was €557 million. We expected cumulative inflationary pressure to plateau during the fourth quarter with impacts from raw material and freight inflation forecasted between €210 million to €24 million versus prior year. On pricing, we delivered 13% in the third quarter, which combined with a 9% pricing from the same quarter last year represents a cumulative pricing of 22% over the two-year period. For the fourth quarter, we expect pricing to land between 9% and 10% year-on-year. Over the past seven months, cumulative impact from raw material over the past seven quarters, excuse me, cumulative impact from raw material and freight inflation reached €1.7 billion, which we have fully offset this quarter with cumulative pricing benefit of the same magnitude. On Slide 11, having turned positive on net price and mix versus raw material and freight inflation in the first quarter of this year, we have continued to stay positive throughout this year as shown by the red line in the graph. While we clearly see signs of raw material prices declining, cumulative raw material on freight inflation impact on our numbers is expected to plateau for the fourth quarter as indicated on the previous slide. This is due to a lag effect based on the time needed to work through the current elevated inventory levels. As such, margin expansions is expected in 2023. Turning now to Slide 12. Reported revenue for paints was 15% higher versus the third quarter prior year with pricing of 11% more than offsetting lower volumes of 6%, while acquisitions added 6%. Pricing of paints stayed ahead of raw material and freight inflation for the quarter. While Europe and China were impacted by increased macroeconomic uncertainty and near historical low consumer confidence, our paints business in Latin America and South Asia delivered strong revenue growth. Despite a strong revenue and pricing performance for Decorative Paints globally, the impact from lower volumes resulted in lower adjusted operating income of €105 million, excluding the retrospective hyperinflation accounting impact adjusted operating income was €160 million. Now moving to the Performance Coatings results on Slide 13. Reported revenue for coatings was up 21% year-on-year driven by strong pricing of 15%, while volumes were down 4% impacted by destocking. The suspension of several businesses in Russia accounted for 1% of the year-on-year volume declines of coatings in the third quarter. Industrial coatings and powder were impacted by destocking, while Marine and Protective continued to recover initially and for Automotive and Specialty with volumes in aerospace and vehicle we finished improved year-on-year. Adjusted operating income was €105 million and €111 million, excluding the impact from retrospective hyperinflation accounting. Now, moving to Slide 14. Operating working capital for the third quarter continued to be impacted by higher raw material costs. Physical inventory value increased due to raw material cost inflation. This resulted in operating working capital as a percentage of revenue at 18% versus 13.6% for the same period last year. Sequentially versus the second quarter, inventory reduction of €19 million in constant currencies was outweighed by lower payables as a result of our destocking efforts. Our focused two initiatives have been actioned to deliver a 300 million reduction in inventory, of which around 200 million reduction is expected by year-end with the remaining reductions to be delivered in early 2023. Free cash flow was positive €61 million for the quarter, which is an improvement sequentially versus the second quarter, but as you can see materially lower versus prior year due to the increase in working capital along with lower EBITDA for the quarter. Capital expenditures for the quarter were €72 million. The net debt-to-EBITDA leverage ratio was 3.4x at the end of the third quarter, which is materially higher than our long-term target leverage ratio of 1x to 2x. The higher leverage ratio was mainly due to cash out for Grupo Orbis, higher working capital, and lower EBITDA. Leverage ratio is expected to stay elevated by the end of this year. Moving now to Slide 15. Adjusted EBITDA was 13% lower for the third quarter, mainly due to lower volume and higher operating costs, despite delivering positive net pricing versus raw material and freight inflation. The third quarter adjusted EPS was down to €0.57 per share. Delivering on our capital allocation priorities we have repurchased €354 million of shares of the current €500 million share buyback program initiated in March. Combined with our previous share buyback program, the total amount of repurchases year to date was around €505 million. Interim dividend is €0.44 stable year-on-year in accordance with our dividend policy. Turning now to Slide 16, we are executing consistently on our capital allocation priorities. We are investing in organic profitable growth with roughly 3% CapEx and we have a stable to rising dividend policy. [We’ve disciplined] [ph] in our bolt-on acquisition strategy by executing on our current share buyback program. The leverage ratio is expected to stay elevated by the end of this year, while longer-term we remain committed to the framework with leverage ratio between 1 and 2 and retaining a strong investment credit rating. And now, I'm handing back to Thierry.
Thierry Vanlancker: Thank you very much, Maarten. In summary, the macroeconomic uncertainty and the outlook in Europe and China deteriorated more than expected during the quarter. While pricing continued to more than offset the impact from raw material and freight inflation for the third consecutive quarter, the volume impact from destocking in distribution channels for decorative paints Europe and performance coatings, along with weak demand in China resulted in an adjusted operating income of €201 million, excluding the impact from retrospective hyperinflation accounting. For the fourth quarter, we expect negative volume trends to continue with volumes down mid-to-high single-digit percentage versus prior year. The negative impact from raw material and freight inflation is expected to be in the range of €210 million to €240 million, while pricing is expected to be up 9% to 10% year-over-year. As a result, we expect our fourth quarter adjusted operating income to comment below €150 million. Given the current macroeconomic uncertainties and the lack of a more precise visibility into 2023, we have decided to suspend our financial targets for 2023. While we do expect significantly declining raw material costs to have a significantly favorable margin impact for 2023. There are many questions on [demand trends] [ph] that we do not yet know the answer to. Like for example, what the impact will be of the COVID lockdowns in China on the consumer confidence, how the unprecedented energy crisis in Europe will have an impact on consumer spending how interest rates in the U.S. will impact new housing starts and industrial spend. All these moving parts make it incredibly difficult to communicate a precise outlook for 2023. And even if you believe in the entitlement of the company, Greg and I have agreed it makes much more sense to provide further guidance when announcing our full-year 2022 results after winter. In the meantime, we will continue to focus on our successful market share builds, our margin management, and our cost reduction initiatives. And I'll now hand over to Kenny for information about upcoming events and the Q&A on Slide 19.
Kenny Chae: Thank you, Thierry. Before we start the Q&A session, I would like to draw your attention to some of the upcoming events shown on Slide 19. The ex-dividend date of our 2022 interim dividend is on October 24 and the record date is October 25 followed by the payment on November 3, and we will publish our fourth quarter report on February 8, 2023. This concludes the formal presentation and we would be happy to address your questions. Please take your name and company when asking a question and limit the number of questions to two per person so others can participate. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first question is from Gunther Zechmann of Bernstein. Your line is open.
Gunther Zechmann: Good morning. Thierry and Maarten. Gunther Zechmann here, Bernstein. My question is, you increased your net debt EBITDA guidance from 1x to 2x, around 2x. Could you explain just how much or maybe all of it is related to the lower earnings expectations for 2023? And how much of it you would distribute to higher net debt, if any, please?
Thierry Vanlancker: Yes. Maarten, you want to go with it?
Maarten de Vries: Yes, I agree to – maybe to give a little bit of kind of context. So, what you see currently is clearly an elevated leverage ratio of 3.4 driven by of course, the higher working capital, which is again coming from the higher or the elevated inventory levels, the recent Grupo Orbis acquisition, as well as the current lower EBITDA. By the end of this year, we still expect that it will be [indiscernible] so above 3, but then we expect that we will de-lever during 2023. And I think it's also important to state that structurally we maintain our target leverage ratio of 1 to 2, but we indicate that we de-lever first to win around two levels. So, the key for us is really the unwinding of the high level of working capital. And of course, we will see the margin expansion coming through in 2023 and that will drive the increase of the EBITDA.
Gunther Zechmann: So, if I think about raw materials rolling over and working capital normalizing towards the end of 2023, is it fair to assume that if net debt stays where it is then the implied guidance, if I just take earnings as a residual, you're guiding for 1.5 billion EBITDA for 2023?
Maarten de Vries: We are not guiding for 2023. What we've said, Gunther, is that by our Q4, by our full-year results, we will come back with further guidance.
Gunther Zechmann: Alright. Thanks Maarten.
Operator: Thank you. Our next question is from Alex Stewart of Barclays. Your line is open.
Alex Stewart: Hello, good morning. I wanted to ask on the raw material guidance for the fourth quarter, which looks like it's at a similar level to the third quarter if I add up the last two years of inflation. The third quarter at the time you talked about being unusually high levels of inflation because of this, the North American resident outage. So, to have the fourth quarter with the same level seems high to me. Could you quantify or tell me whether there was an inventory devaluation of write-down impact in that 210 million to 240 million guidance? And any sort of steer on how big that might be? It's obviously very material for the Q4 guidance. So, I'd be interested to know that. And then the other comment around why the fourth quarter raw material guidance is as high as it is would be very useful? Thank you.
Thierry Vanlancker: Yes. So, let me maybe start, Alex and then Maarten, you can fill in the blanks in it. First of all, on raw material, maybe good to sketch what we see. First of all, the raw materials as we are buying them right now are indeed acceleratingly dropping in price. So that is in fact a good thing and that's an encouraging thing for next year and it's dropping faster and more than we actually had expected. So, that's the good thing. Now, it's a valid question Alex. Why don't we talk about it? Well, there’s two things. Since the whole channel had a relatively high inventory, there's some destocking happening. So, hence, our sellout numbers are lower, but at the same time, we are also buying significantly less raw material right now because we have to work to our own inventory to get there. So that means that the flow through of the – well, first of all, the acquisition of lower cost raw materials and then the flow through into our books is actually or probably going to be at the very near end of the fourth quarter and probably more likely beginning of 2023 that you see that impact. So, although the raw material is coming down, you will not see that in the full year end. And in fact, yes, then maybe some revaluation of inventory. So, it's actually maybe more a flushing out of the system at the latter part of this year to then actually getting back to a much more encouraging new normal afterwards. So that gives the dynamic, I would say, around the raw materials. Now, maybe Maarten, you want to fill in some of the blanks there.
Maarten de Vries: Yes. And to your question, in the range we've given at the 210 million to 240 million raw material and freight inflation for the fourth quarter versus last year includes the estimated impact of stock revaluation. And to be honest, it very much depends on how the [slope will] [ph] during Q4, and that is currently pretty volatile. But we have included a double-digit million number based on our current insights how that's [slow growing] [ph].
Alex Stewart : So, if I say 20 million to 40 million [indiscernible] the right ballpark for the write-down, it's really important in the – the portion of the Q4 earnings?
Maarten de Vries: For our current insights, I would [not say] [ph] it's a lower end of that range, as I mentioned earlier.
Thierry Vanlancker: But Alex, it's a very dynamic environment on raw materials to be honest. So, it's actually that balloon on the raw material inflation has been inflated over the last 1.5 years. And we knew that it was going to deflate, it's just deflating very fast at one-time. So, it's actually our procurement organization comes with breaking news every other day on what's happening. So that's why it's a bit difficult to quantify.
Alex Stewart: Very helpful. Thank you.
Operator: Thank you. Our next question is from Mubasher Chaudhry of Citi. Your line is open.
Mubasher Chaudhry: Hi. Thank you for taking my questions. Just the one please. You've given a little bit of guidance around the fourth quarter being less than [150] [ph], can you provide any thoughts on the lower end on that guidance? Could we be approaching double-digit million in the fourth quarter? Thank you.
Thierry Vanlancker: Mubasher, thanks for your question. If we wanted to give a guidance, we would have put it in there. What we wanted to do is in fact lower the exuberant expectation that was out there on the quarter. To be very honest, and it's actually probably fair to sketch it. Again, I want to stress that effect except for the China-based on the lockdowns. We don't necessarily see real demand drops. It is actually a pile-on from destocking. It's very difficult for us to see what that is going to bring.  It's very difficult for us to see what the inventory valuation will do given the dynamics of what the downward pricing of raw materials is doing. It is also by the way depending on how the energy crisis evolves in Europe because it is not unthinkable. We didn't have any information on that yet, but it's not unthinkable. that some customers in the channel closed shop for two, three weeks in December to avoid certain bills. So, that's why we wanted to be actually somewhat conservative lowering the expectation for all the dynamics we have.  It does not betray a negative feeling about how 2023 would be, but I think in the fourth quarter, as you know, it's a small quarter for us. So, if there's any adversity that comes to life, I mean, the number dips. So, but it's – we wanted just to make sure that the expectation was reset for the quarter on what we see, but I'm not sure if you necessarily want to comment on what would be downward situation. We're not that negative, but frankly, it's a very volatile environment, which is somewhat out of control of the company at least in the fourth quarter.
Mubasher Chaudhry: Thank you very much.
Operator: Thank you. Our next question is from Tony Jones of Redburn. Your line is open.
Tony Jones: Yes. Good morning, everybody. Thanks for taking my questions. I've got two if it's okay. Could you talk a bit about OpEx inflation in 2023 and whether you're budgeting for this to be a net negative after cost savings. And then I'm going to have another go on getting to the underlying EBIT for Q4. So, and Maarten, thanks very much for a bit about the inventory charge. Does the 150 million also include another 15 million to 20 million of hyperinflation? Thanks.
Thierry Vanlancker: Yes. Let me tackle maybe the first question on the operating expenses. The weird situation is that the external demand environment, but also the raw material environment being more availability is changing very rapidly. I would say, at least on the raw materials availability is normalizing very rapidly. That means that we basically have to get two costs that we have in the system to handle all the uncertainties, extra things that we have to put in place to get there. So that we get out of the system, all these programs are online and being executed. But again, there are social problems, etcetera, so you have to go to that a certain speech. So, I think that you will see coming indeed in 2023. The question mark is probably to some extent around logistic cost, whereas [sea] [ph] shipping costs have normalized to a large extent road transportation significantly higher cost in both in the U.S. and in Europe. And then we're looking at how we can handle that on the amounts of shipments and service level customers, etcetera. So that will be probably an ongoing situation in 2023. For the rest, I think [indiscernible] has stepped up on out of pocket expenses. For example, in our non-product related expenses, we are now slightly below last year, despite double-digit inflation in most of those goods and services that we acquired, so lots of activities are there. So, I think in 2023, it will, again, lots of uncertainties on there, but one might expect that that is also going to start getting in line.  The one wildcard being what the wage bill will do, not a number of people, but what that would do on the – just wage increase in cycle, which is probably going to be somewhat out of the ordinary in 2023. On the underlying Q4, maybe Maarten, do you want to comment on that?
Maarten de Vries: Yes, Tony, a good question. So, in Q3, as I mentioned, we had to [retract] [ph] active impact of hyperinflation that was [17 million] [ph], but a total impact of hyperinflation in Q3 was 25 million. So, 8 million operational impact and I would say for Q4, you can take this as a proxy to the operational piece.
Tony Jones: Thank you so much.
Operator: Thank you. Our next question is from Chetan Udeshi of JPMorgan. Your line is open.
Chetan Udeshi: Yes. Hi. Thank you. Good morning. Two questions from my side. I was looking at the payables number on the balance sheet at the end of Q3 and it's come down by 23% from second quarter level or I think in absolute number it's come down by [indiscernible]. I mean just curious how much of that is actually you guys destocking or buying less, versus the impact of pricing? Because clearly, balance sheet numbers are quarter-end numbers.  So, some of the raw material deflation should be captured hopefully in that number as well. So, just curious, any color you can give on the, let's say, purchase volume versus pricing element to the decline in payables? The second question was the guidance of mid-to-high single-digit volume decline in Q4. Are you able to give us any color on how much of that do you think is destocking and how much of that is underlying in terms of demand weakness? Thank you.
Thierry Vanlancker: Yes. Thank you very much, Chetan. Maybe let me try to take a stab at it. Good observation on the payables. If this would be cartoon movie, you would see the car really hitting a fast brake and everybody is hitting the front window shield in the car, because, yes, I mean, we slammed the brakes on payables. Again, what we see is people destocking. That means that that backs up into our own inventory. And in fact, it takes one or two months sometimes for material that we've ordered to arrive in our warehouse. So, there is an inertia in actually reselling them and it went very fast to be honest with those corrections. So, what we've indeed have done is actually really slammed the brakes on buying key categories and that will probably also happen big time in the fourth quarter. So, yes, I mean, our orders to some of our suppliers have actually dropped to zero for one or two months because we actually have enough inventory to go through and we want desperately, as we said, to get through the expensive stuff in inventory, so that we make as fast as possible, room for the lower cost material for them to flow through our P&L. So, there is a significant indeed hitting the brakes to get our inventory back to where it needs to be. Significant progress has been made by the way in the volume on that. And I think so we're really getting in this fast reversal of what's out there. I think we'll be getting in the fourth quarter very much on top of where we need to be with our inventory. So that's on the payables situation. If you then look at the mid-single-digit destocking, first of all, I just want to remind everybody there is about 1 percentage point of that is [Russia] [ph] where we actually stepped out of the significant businesses for all the known reasons. So that's, of course, given in those numbers.  For the destocking, as far as I can see right now, it is actually mostly destocking except for what we see in market demand in China where the consumer confidence specifically in Tier 1 and Tier cities has made the consumers across the board pretty, I would say, pretty reluctant to go out and to spend money on anything, including renovation and including paint.  So, if you exclude China, I think for most of it, it is in fact destocking, not always at our direct customers, but it's often at the customers or the customers of our customer. So, the whole channel is actually destocking. So, that's the vast majority of destocking. Does that answer your question?
Chetan Udeshi: Yes.
Thierry Vanlancker: Thank you.
Operator: Thank you. Our next question is from Laurent Favre of BNP. Your line is open.
Laurent Favre: Yes, good morning and thank you for taking my question. The first one, I guess, is for Maarten around leverage, and I'm a bit puzzled about the comments around getting towards two, given that between the dividend, let's say, 300 million and the Kansai acquisition, I mean, a lot of the free cash flow is going to be [indiscernible] two things. So, I was wondering, are you looking at other measures to get the leverage down like suspending the buyback or maybe small disposals of non-core assets? That's the first question. And then the second question is around the incentive of the new CEO from memory, neither CEO nor CFO incentivized on the €2 billion target for 2023. I was wondering if we could get an early insight on what the board is looking at for the incentive plan of the new CEO? Thank you.
Thierry Vanlancker: Well, the second question, easy answer, the incentive plan is very much the same incentive plan that was in place for the CFO and for the [part-time] [ph] CEO. So that has not changed. On the first question, Maarten, maybe…
Maarten de Vries: On the leverage ratio, maybe to be clear because you mentioned the share buyback. So, the share buyback is running until the end of this year. As you know, we have decided earlier in the year to accelerate the share buyback because originally it would run into next year, that is one. And secondly, I think as I mentioned earlier, it is very much driven by one the, unwinding of the very high working capital level, which will be driven by one, all the actions we take to bring the inventory levels down, which are – which is critical also for – to drive the margin expansion next year. So, that is one. And secondly, obviously by the improved margins and therefore the improved EBITDA we will see a net year.
Laurent Favre: Okay. Thank you. So, just to be clear, are you thinking, next year could see record free cash flow as we saw for instance in 2020?
Maarten de Vries: I don't want to comment on that, Laurent. So – and as I said earlier, we will give further guidance post our Q4 results because then it's also we are in a situation to have better visibility on how 2023 will start to shape up.
Laurent Favre: Okay. Thank you. And just to say, good luck and all the best to Thierry for the future. It's been quite a roller coaster over the last five years, but wishing you all the best.
Thierry Vanlancker: Thank you, Laurent.
Operator: Thank you. Our next question is from Charlie Webb of Morgan Stanley. Your line is open. 
Charlie Webb: Hi, good morning, everyone. Thank you for taking the questions. Maybe just a quick follow-up on the OpEx and thinking, kind of on the deliver plan and on the focus to plan. As we look into next year, what is the net number? I mean [indiscernible] we talked about some of them, but what are the net savings we should think from those as we kind of try and triangulate 2023 in terms of what we're trying to achieve and how you see that was inflation? That's kind of question number one.  Question number two, just on the destocking and obviously, kind of alluding to more destocking to come in Q4, which I guess make some sense seasonally. This feels like a lot of destocking now. So just any sense on where customer inventories are at? And how, you know that is now shaping up as we move into next year? Are we going to move from above 2019 levels at a customer level to 2019 level now moving below that? Just trying to get a gauge on where we stand and how we should be thinking about that, kind destocking effect and how long it can continue?
Thierry Vanlancker: Yes. And maybe let me take the second question then, Maarten, you can maybe take on the 2023 OpEx question. On the destocking, we actually had expected in all fairness to have the inventories at customers to hover around the 2019 numbers. That seems to be largely to be the case too, except in some of the more impacted geographies like China, for example, where there is – that's a bit of a reverse, the people go deeper. The one element and that's why we want to be somewhat conservative also on the fourth quarter is that as everybody is struggling with expensive inventory and tries to go through it, I'm not sure how much more slamming of the brakes is going to happen to free up some cash in the channel during the fourth quarter and before year-end. So, I would not be surprised if in certain parts of the channel the inventory temporarily dips below 2019 ratios. So that is a possibility. So that's why we are somewhat guarded. Again, what the whole story that you hear today is around an enormously fast developing situation externally built on the raw material – on the demand – fear for demand because frankly, again, it's most fear for the month that is actually already happening. And then what impact it has on the raw materials? Now that is in fact directionally good news for 2023, but it all what has been built up in the last 1.5 years is now all flushing out of the system in the last four, five months of the year, four months of the year, which are typically the low seasons for us. So, that's why you see an over amplified situation. So, on inventories in the channel, I think they are hovering around 2019, but I personally would not be surprised if in parts of the channel, it actually dips temporarily below 2019 numbers. Maarten, if you want to talk about OpEx?
Maarten de Vries: Yes, Charlie, on the OpEx question, and Thierry mentioned already a couple of elements, but I think it's important to mention here that apart from the underlying deliver programs, we have launched and we're executing on our focus to cost reduction programs that's in total 100 million, but to be fair, if the impact of focus to the 100 million, I think most of that will only become feasible to be in 2023. For the fourth quarter, I would say, OpEx will be trending more or less in-line with what we've seen in the third quarter. The big – challenge for the big unknown for next year is really how wage inflation will start to develop and maybe some other cost categories, which might then require further additional actions. So, it is a little bit difficult to give now a definitive answer on your question, but for sure, we will come back on this as we move along and enter 2023.
Charlie Webb: Thank you very much. And let me reiterate Laurent, and likewise, Thierry, wish you all the best [indiscernible].
Thierry Vanlancker: Thanks very much. Thank you.
Operator: Thank you. Our next question is from Peter Clark of Société Générale. Your line is open. 
Peter Clark: Yes, thank you very much. Yes, good luck, Thierry. First two questions, I've got two questions. First one about the price stickiness. You've always talked about having a lot of the price stickiness in the distribution channel type focus business. And obviously, Deco and powder immediately come to mind where you're also pointing at the significant disruption and the destocking pressures, etcetera.  So, just wondering how you look at that pricing situation as we go into 2023, particularly in those two areas? And then the second question, obviously, the seasonality of Q4 weighs heavily on that guidance for the profitability. And I accept that Q4 is probably going to see big Christmas shutdown as you've got more destocking on the way, might get a bit better of [Q1] [ph]. But Q1 again is a seasonally weaker quarter, particularly in Deco. So, would I be right in thinking you are assuming? I know you don't want to give guidance on 2023, but you're assuming a very slow start to the year? Thank you.
Thierry Vanlancker: Yes, okay. Maybe two questions on the price stickiness, I think that confidence is unwavering. By the way, we're still increasing prices in several of the channels right now. And definitely in the distribution, there's hardly any pushback because they are able to pass it on to their customers. So, the pricing situation is still very, very clear. In fact, the way we manage it, that we've started doing a couple of months ago already, is actually to manage our pricings, our margin and share. So, we obviously do not want to step away from share and actually manage those two things together and that seems to be working pretty well. So, the price stickiness is actually there. And that effect is, as I said, behind all the stuff and the turmoil that's happening in this year end, there's actually some directionally good news for 2023 and so that remains the case. And the focus of the company remains the same. Again, as you rightly say, the fourth quarter for us is a small quarter. Lots of these things are happening right now, so that will depress the fourth quarter and then maybe indeed some other stuff where people just shut down more energy costs in Europe, etcetera, so we'll see if those announcements come out. So, that is why we are very guarded on the fourth quarter. In the first quarter, we will see, in fact, that is the reason and maybe it's good comment on that – that's the reason why it probably makes sense to suspend the target and see how everybody gets to winter. Again, the expectation is that the lower raw material cost and therefore a variable margin expansion given the price stickiness will start to get into our numbers in the first quarter, but the exact timing is not necessarily that easy to predict on when it's exactly going to hit. So, I think that would be tangentially positive. But it’s anybody's guess, to be honest, what now the situation is going to be around lockdowns in China. It’s anybody's guess how Europe is going to get through winter, and how that with energy costs, what is going to have as an impact. So that's why underlying, under all the surface of the water, there's some positive development, but it's anybody's guess when it's actually going to kick-in in the beginning of the year. Now, for taking the guidance for 2023 suspending it, it's clear that until I would say beginning of the third quarter, as long as the demand signals were not impacted that it actually was an ambitious goal, but you could see the pause there, but to be fair to get to the entitlement in 2023 that we have set ourselves, you have to have a little bit of help with the [above signal] [ph], at least it has to hold up. The variable margin expansion looks like that indeed may happen as we had hoped for, but the demand signal is the bigger question mark macroeconomically. And that's why it makes a lot of sense with [indiscernible] steering wheel for him and the team to relook, how do we get – how do things look like by January, February and then basically to give much more meaningful comments on what is the 2023 or the mid-term ambition for the company.
Peter Clark: Got it. Thank you. And all the best again.
Operator: Thank you. Our next question is from Jaideep Pandya, On Field Research. Your line is open. 
Jaideep Pandya: Yes, thanks. Just want to understand the demand picture a little bit. So, if we think that volumes are, sort of mid-single-digit below 2019 and it's first half – second half 2022. I mean, volumes in 2019 and prior to two years following 2019 were negative because of trade war, etcetera. So, are you saying Thierry that demand actually right now has gone back to sort of 2017, 2018 days? And what sort of explains this – is this like just a complete pause in terms of buying activity? And then just as sort of a follow-up to that, when you think about 2023, and appreciate there are lot of moving parts, the biggest question mark I guess in your stock right now is, are volumes going to be down another 6%, 7%, 8% next year. I mean, just from a practical point of view, how relevant is it in the sense, if COVID doesn't change in China or Europe consumer confidence doesn't change. Do you think then the mid-to-high single-digit negative for 2023 is also sort of on the table? That's my first question. The second question is, around your 2 billion target, I remember when we saw you after Q2, you sort of indicated that pretty much all the managers in the top 300 had this in the contract and there was a bit of a range around that. And you were confident that you were going to be ballpark-ish around 2 billion. Obviously, this is now out of the question. So, what is the morale in the company? Because until two quarters ago, you were telling all your managers to buy as much as they could and sell as much as they could. And now, you're obviously going to flip around and say, well, you have to cut cost and blah, blah, blah. So, I just want to understand how is the organization, sort of coping with all this craziness? And I'm not going to wish you good luck because I'm not very happy that you're leaving.
Thierry Vanlancker: Okay. I'll take it as a compliment Jaideep. Okay. So, I'm not sure if I can relate to your comment on the buying and the selling, by the way. I think our people, of course, have our nose to the grindstone in the market to see exactly what's happening. I think there's a good price around actually not only holding share, but in many segments, in fact incrementally building share. So, that's a positive. So, they're pretty realistic of what they can do and what they cannot do in the market. On what incentivizing for the Top 200 of the company, I think also there, I think people have – they see it every day on what's happening and what are the actions that can be taken. So that I think is then for Greg and the team to look at – there has to be a review on that, how do you incentivize people, etcetera. But at the same time, we put targets out there and I think they're very much aware that the macroeconomics is, of course, not acting in the favor. So, the ambience in the company, okay, I'm not sure if at the – the C Suite is the best view on that, but I think people are pretty motivated and they understand exactly what it is and have their army fatigues on to keep fighting for the company. So, I'm not that concerned and I think that's not going to change either. On the volumes, Jaideep, well, first of all, you go back to 2017 levels, etcetera, it's probably fair to say and maybe we haven't stressed that enough that if you exclude the Tier 1, Tier 2 cities in China, so just put that aside, in fact, around the world in almost any business if you look at the end market demand, it is actually pretty much in-line with 2019. We referred in our prepared notes to proactive or defensive destocking, what you see is in fact as we are doing is actually people not being very confident on what 2023 is going to bring, also seeing what might happen on their input cost and therefore trying to get to their existing inventory as soon as possible. So, it actually goes around the channel and that becomes a whiplash effect that I think is even much bigger at our suppliers as a whiplash and so on and so on. So, the real situation is that the actual demand is in general not that much off. It's really just everybody preparing for what might be, [tough] [ph], but also unpredictable 2023. So, that's why we gave the volume picture. The second half of this year is obviously everybody preparing for that and that's what is the impact in our sell-in into those channels. So, if by the way the volumes were to drop more than there are actions we can take in our network to flex the cost. I mean that doesn't go overnight, but we can actually flex it. And again, we don't have the fixed assets like [chemical plant is] [ph] with reactors that you cannot move and you have to fully utilize to make money. So that is not an issue, but that I think will be then the situation. Again, it's to view at the beginning of next year. So, what is the hype? What is the fear and what is the reality in the field beginning 2023. Again, the results of the company for 2023 and entitlement we have is really an arbitrage between our pricing in the market times the volume minus the raw material cost. Now, the pricing looks good. The raw material costing seems to go very fast in the direction we wanted to have. It's actually the bigger question mark is what is the volume in 2023? Hence I think the pause to say, let's look back once we have a bit more information on it. Does that answer your question, Jaideep?
Jaideep Pandya: Yes. And if I can just ask one follow-up to Maarten around the net debt-to-EBITDA point, just want to confirm you said 2x in 2023, and without letting you give any guidance, would you say that it's going to be an even split between EBITDA increase and working capital release from free cash flow that's going to help you de-lever or is it too difficult even to answer that?
Maarten de Vries: No, I don't want to answer at this stage. But what I mentioned is and I reiterated again that, of course, the important part is the working capital decrease given where we are coming from and the other part is obviously the EBITDA improvement, but again, the focus for us at this moment in time is really working capital and getting our inventory down because that drives not only cash flow, but also drives margin improvement. So, that's what we've been saying all along. So, by the end of this year, where inventory will be down with roughly 200 million from where we came from at the end of Q2. And we do expect the [other 100 million] [ph] from 300 million euros target to come in early next year.
Jaideep Pandya: I hope you keep the promise of the number two because I'm a bit allergic to it in the meanwhile, and I'm not going to trust Thierry. So, thank you.
Operator: Thank you. [Operator Instructions] Our next question is from Geoff Haire of UBS. Your line is open.
Geoff Haire: Good morning. Just wanted to ask two questions. First of all, I was wondering whether you'd be willing to give us some rough estimate if you're using what you're paying for raw material prices today, raw materials today, how much lower would that be than what you're guiding to for Q4? So, just to give us some idea of the quantity of decline, the magnitude of the decline in raw materials? And then my second question is a slightly more philosophical one. How do you, sort of decide what is destocking and what is end market demand reduction? Because you've obviously commented that end market demand is still in-line with where you were in 2019, but this has all been destocking. I'm just wondering how you know what the difference is?
Thierry Vanlancker : Yes, Geoff, good questions. On the raw material, I'm not sure if I fully understand your question, but maybe it just sufficed to say that the current, I would say, spot prices for the material are actually high double-digits for some categories lower all of a sudden than they were before. So, maybe that's a good way to indicate that. By the way, it's interesting that procurements is that some contract proposal, contract pricing proposals start in fact dropping below spot price. So that means that in fact the supplier base has lost somewhat confidence on holding prices where they are. So that's probably as much as I would say because it's a fast evolving situation. As I said, I'm not exaggerating because our procurement comes up with these [news flashes] [ph] every two, three days around what's happening. So, it's obviously there also a lot of resetting, including by the way, stress for Europe, higher energy consuming European base suppliers who actually are stepping out and those places being taken pretty quickly by either those same suppliers, but from locations outside of Europe or non-European suppliers. So, it's a pretty fluid situation, but all the arrows in fact on prices are going down quite significantly and the availability again, in the third quarter and the fourth quarter, we will still be hit by an explosion and a fire at a big resin supply for us in the U.S., but besides that, in fact, the situation is normalizing very, very fast on supply and then prices going down. So, probably that is the most coherent thing I can say about it. On the destocking and the end markets, how do we know that? Well, frankly, on the Deco side, it's relatively easy to see that because we do have quite a good view around the world on what the sell-out is. So, what goes out of our do-it-yourself customers what the order books are for painters, by the way. So, the new project that they get into is on the professional side. So, we had a good view and there in fact not much is happening on the negative side, so that seems to be holding up well. Again, who knows where it's going to be next year, but for the time being and for the view that we have that is holding up well. So, what you definitely see is a lot of channels people just buying less material and actually bringing their inventories down even by the way in the cases, which is often outsourced to us where we get the request to actually bring their inventory levels down because in different ways they need to fill up cash, etcetera. And then as I said the most, then of course, if you go two, three, steps down, I mean, you get very philosophical. One is destocking, one is [indiscernible] market, but we do feel it's mostly destocking at least to one, two, step down. in the channel we can look at. And that hits not only Deco that also hits places like powder that has a significant part of the business and distribution, you see the same thing. It hits parts of [ICo] [ph], part of the metal coating goes to distribution. Wood Coatings has a part of distribution, you see exactly the similar effects there. Secondly, on where the real drop in market is, as I indicated, China is probably the place where we see real stores basically selling less paint. Again, that is not our category, many of those stores are multi-brand stores where multiple paint suppliers sell their stuff and it's actually just a significant reduction. In footfall, again, mostly in Tier 1 and Tier 2 cities. Outside of those cities, maybe because of the whole COVID situation that is far less impacted and we're still growing, but that's offset with the [slump] [ph] in our base business, which in Deco, in China. So, hopefully that just answers your question to some extent.
Geoff Haire: Yes. Thank you very much. And also, just thank you for the last five years and making paints interesting, and all the best for the [Multiple Speakers].
Thierry Vanlancker: Thank you. Thank you, Geoff. And I've been around Americans and British people long enough to understand that interesting can be anything. And that's [probably correct] [ph]. I was just reflecting on the fact that I started about six years ago with a profit warning, and that seems to be more or less what I did four weeks ago. So, some things never changed, although lots of things are changing. Believe me, it would have been much more fun to end on a high, but frankly that is the stage from anybody in the chemical industry. These waves come in and out and you can't pick up, so it is what it is. It has been an honor to lead the company over this five, six, years. I have the arrogance to believe that lots of things have changed under the surface to make it a very different company than it was before. But the journey is unfinished. You've heard Maarten and me saying, we're halfway the journey.  So, therefore, it's also an honor to introduce Gregoire to write the other half of the chapter on it, I've had the pleasure of being assigned with [indiscernible] with Gregoire for the last month sitting, actually I think Gregoire almost every hour together of the last month on every single meeting. So, I think the company is in good hands. And maybe Greg, it's good for you to say a couple of words.
Gregoire Poux-Guillaume: Thank you, Thierry. Hello, everybody. And I can confirm that over the last few weeks, I've spent more time with Thierry than with anybody else, including my wife. So, we're very advanced in our handover process and I've been really impressed by the passion and dedication of the people I’ve met at Akzo Nobel over that onboarding process. It's been very insightful and I thank Thierry for putting that together. I'm coming at a time where the business environment is complicated, but we have significant self-help potential, as was mentioned, and I'm convinced that we have what it takes [indiscernible]. I'm excited to be at Akzo Nobel as we continue the transformation that Thierry undertook a few years ago and to build with the team, [one was achieved today] [ph]. And I look forward to answering your questions starting with the Q4 results. Thank you.
Thierry Vanlancker: Thank you, Greg, and thanks everybody. Have a good day. Thank you very much.
Kenny Chae: Operator, we can close the call.
Operator: Thank you, everyone. That concludes today's call. Thank you for joining. You may now disconnect.